Operator: Good morning. My name is Michelle, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Park Aerospace Corp Third Quarter Fiscal Year 2022 Earnings Release Conference Call and Investor Presentation. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. At this time, I will turn today's call over to Mr. Brian Shore, Chairman and Chief Executive Officer. Mr. Shore, you may begin your conference.
Brian Shore: Thank you, operator. This is Brian. Welcome all. Happy New Year. Welcome to our Q3 investor conference call. I have with me, as always, as usual, Matt Farabaugh, our CFO. So we announced our earnings this morning. There was a news release. In the earnings release, there is instructions as to how to access the presentation, which we're about to go through if you want to get that presentation in front of you. It's also posted on our website. That's another avenue to get the presentation in front of you. But without actually viewing the presentation, this call will be less meaningful, I think. As usual, what we try to do with these calls is mix it up a little bit, try to provide useful and interesting information to you, an interesting perspective we can. We're not into just going through a dry analysis of numbers and data. We can always do that for you later if you will call back. So we have this dilemma that keeps growing every quarter, which is the stuff we cover every quarter and we just go through it again and the problem is the presentations get longer and longer. We want to discuss new stuff as well. So we're going to skip over, at least skim over a couple of sections that we've – on topics we've covered before multiple times in prior presentations and calls. So I guess that's it. I just want to warn you, I guess, just to go through the presentation, it's a long presentation. We'll try to go through it as quickly as possible, but it could take up to 50 minutes, maybe a little bit more. That's 5-0, not 1-5. And then after we're done with the presentation to the extent you have any questions, Matt and I will be happy to answer them. So why don't we get started. Slide #2 is our forward-looking disclaimer information statement. If you have any questions about that, let us know. Slide 3 is our table of contents. And Slide 4, we can't go through Slide 4 quite as quickly. So this is a little bit of a busier slide. So let's talk about our Q3 results. Sales $13.864 million, gross profit $3.863 million and EBITDA, adjusted EBITDA $2.670 million, kind of interesting to look at the progressions from quarter-to-quarter. You can see that, at least in terms of bottom line, this is a down quarter from Q1 to Q2. Let's talk about what we said, we predicted, if you will – not really predicted, what we – our forecast estimates that we provided you when we did our Q2 call regarding Q3. We set our estimate for sales as $13 million to $13.5 million and adjusted EBITDA of $3 million to $3.4 million. So it's kind of a strange thing, we actually exceeded our sales estimate, but didn't get to our EBITDA estimate. And that is the explanation – and that requires the explanation, which we're about to go into. But before I do that, let me just remind you what you always do, our forecast philosophy, when do you provide your forecast, we are telling you what we think is going to happen to the best of our ability. Obviously, we're wrong sometimes, but we're saying at the time, this is what we think is going to happen. We don't play this kind of – we'll go up again where we give you a low number that we could beat and then be heroes. To us, that's not how we do it. We think it's kind of insulting. But other people they want to do it, that's fine, that's just not how we do it. I think you know that by now. So let's go to the bottom of the slide here, it's a but, it's a big but. This is an important thing. It will come up a couple of times or so during the presentation. There were $2.4 million of missile programs essential component sales, which were expected in Q4, but occurred in Q3. Now when we did our Q2 call, we told you about this. We said that's going to be in Q4. That's what we expected. We now can call this product C2B. Until now, it's been kind of an anonymous product, but we just announced yesterday a deal with Ariane and we'll talk about that later. So we now call this product C2B. It's a very specialized proprietary fabric that's used by us to produce a blade of products for missile and rocket programs. So we'll get into the product a little bit later. But anyway, let's just call it C2B for shorthand, rather than saying whatever we call, essential component sale, missile program essential component sales is kind of a mouthful. But anyway, this sale took place in Q3, not Q4. That wasn't really our doing. This is driven by the OEMs. Remember how this works. So this component, this is a critical component for the missile program, a sole source on these programs. It comes from what we've been saying, a country that's an ally of the U.S. It's a French company. Ariane is a huge company, huge company. But I guess some of the OEMs [indiscernible]. These are companies that maybe do missiles and rocket programs about making sure they have a secure supply of the C2B. So they ask us to go buy the product from them, from – sorry, from Ariane. We have a relationship with Ariane. We do that and then we sell this C2B product to our customer, and we hold it for them. It's in our factory although it's they're – they own it. And there's just a markup involved when we do that. So it's a very low margin sale as well. Now the good news is and there is a lot of good news here is that ultimately, we plan to use that product, produce our ablative materials and those materials when we sell those materials with very high margin. So net-net, it's very good. But the first part of the transaction could be restorative because it's a lot of revenue and very low margins. And it was supposed to be in Q4 and ended up being – sorry, it was supposed to be – yes, Q4 ended up being in Q3. So that kind of throws everything out of whack here a little bit. So let's just think about that $13.9 million of sales in Q3, but let's just for the purpose of kind of getting some perspective here, let's subtract that $2.4 million. It was supposed to be Q3 anyway. That would say that it's more like $11.5 million without that C2B sale, $11.5 million. Now $11.5 million compared to what we were predicting, $13 million to $13.5 million, well, that's $1.5 million below the bottom end of the range. So now you start to see what's going on here. Actually, understanding that you say, geez, that EBITDA is pretty good and it is pretty good considering these circumstances based upon the top line. So, let me see what else do I have here. I just had a little interesting point – well, maybe interesting to you. We currently have over $5 million worth of their C2B product in our factory. It's not owned by us. It's owned by our customer. But that's good because that means there's a lot of ablative sales that are coming. And it won't be next quarter, that's not how it works. They want to have a secure supply for a long time. Well, that's good because this kind of money in the bank for Park because ultimately, the plan is that we would – when our customers tell us, we'll take that C2B product and with our proprietary resin systems, produce this ablative material. And that's where the sales, the margins end up being very good on those sales. So, I think that covers that. Why don't we move on to Slide 5? And there are other factors which affected Q3 sales and margins not just see two things. So, let's talk about that. Supply chain challenges daily battle. We spoke about this when we did Q2, but we didn't see this coming exactly, but they are actually, from our perspective, worse in Q3 and worse currently than they were when we announced Q2. So, when people say it's getting better, your reports about this, newspaper articles, Wall Street Journal, I don't know the world they're in. They're not in our world, that's for sure. Our world is not getting better. And under supply chain challenges, difficulty sourcing raw materials, international shipments, domestic shipments, freight issues, additional costs for expedited freight shipments. So altogether, we look at the first three bullet items, $600,000 of sales that we didn't have in Q3 because of these things. Either we couldn't get someone to ship the product domestically or internationally and difficulty sourcing raw materials. We couldn't get the raw materials to produce the product and ship them by the end of the quarter. So, my feeling is our people doing a really good job under very difficult circumstances, but we were not able to get all the raw materials we needed for the quarter. So, you take all those three things together, $600,000. We actually know exactly what the number is, it’s like $593,000 or something like that. But we're not going to give you the breakdown. That's a little bit more information that is useful, we think. But we can compute that number. That's a hard number. So, remember I said there's a $1.5 million gap in the top line. There is $600,000 of it, but that's still a lot left. What happened to the rest of it? What happened to the other $900,000? Now let's talk about that. Supply chain issues impacting aerospace industry generally. So, what does that mean? This is not our supply chain. It means we're not the only one. As far as we know, everybody is struggling with this. That really puts the brakes, a drag on the whole industry, the whole aerospace industry because if we can't get stuff, other people probably aren't getting stuff either. And if you are an OEM, Park, they are good, they are on time, they can get you what you want. Well, that's really nice. But I got 25 other suppliers that are getting me the components that I need from them. So, what's the point of making these extra airplanes or missiles, whatever, if I can't get all the raw materials? So, it kind of puts a drag on the whole industry. Now we're talking about our top line, not just the $600,000, which we could compute. Can't really compute this item, hard to know, but it's there. It's very palpable as far as we're concerned. So, another item, costs and efforts associated with bringing the new plant online and equipment trials. As far as hitting the P&L directly, these are minimal costs. As far as the effort is concerned, major, major effort, I should say. So, the next one is another important item. The supply chain issues impacting aerospace industry and delays in improving defense budget. Those are two items which to me really explain why our market is soft right now and probably will be soft into Q4. This is nothing to do with GE, by the way. That's the one exception. GE is just going according to plan of GE programs. This is all other than GE. So, for us, other than GE is going to be largely – a lot of it is going to be military. So, you’ll hear a lot, a lot, a lot about how the delay in approving the defense budgets has affected the defense and military industry. I just saw a report from a large company this morning announcing earnings that, yes, they really – they didn't make their numbers because of the lack of approval of defense budgets. So, the budget was recently approved. And this is Washington stuff. I don't know understand the stuff very well, but that was the Defense Authorization Bill. That was, I guess, signed into law on December 27. But then there's something else called Defensive Appropriations Bill. That's not signed yet. I guess that's a big one because that means that's authorizing the actual spending of money. So, this has left the defense industry in limbo, and I've seen lots and lots of reporting about this. So, it's certainly not just our perspective. So let me just see what else. I'm looking at my notes here, sorry about that. So, the fact that the defense industry – sorry, the Authorization Bill has been signed, I hope that's a positive. I guess now people are saying, well, I need the appropriations bill to be signed as well. But hopefully, that will be done and then the defense industry will get back to business. Right now, I think, some programs are still kind of on hold, maybe some of the OEMs are waiting to see what happens. So, we'll get to that later. There's actually one, a little good news on the Authorization Bill. We'll talk about that later in the presentation. Let's go to Slide 6, inflation. Okay, we hear a lot about inflation these days. Everything, raw materials, freight, supplies utilities, pretty much everything. We do pass a lot of costs on when we requote businesses – sorry, we quote business to our customers, I mean. But the big question, I think, in my mind anyway is how long could these increased costs be passed on to customers? Whether you are talking about consumers, you are talking about their businesses, how long? Because it's almost just physics. There has to be a limit. And it's always the same thing. You don't know where that limit is, how far can you push it, how far can you push it? And the problem is sometimes with these things, nobody knows, they keep pushing, and pushing and pushing. And it's like one day, everything stops. We've had it. We're not paying these prices anymore, and that's usually – we would often in the past anyway, it's been a kind of a severe event. A lot of people that are smarter than me say it's not going to happen this time. So maybe they are right, I don't know. Now these are not our list of excuses. These are factors that we think you would want to know about. We think we should – we think you would want to know about these kinds of things we're struggling with, these difficulties, not excuses though, not excuses. We're not – I hope it's clear, we're not apologizing for the quarter. Actually, I think our people did a pretty darn good job under these circumstances and how difficult things were. I think you know this, but maybe just – it's worth just taking a second to explain. For us, quarter-to-quarter top line, there is only a limited impact we can have on the quarter-to-quarter top line short-term. It doesn't really work that way. So because we can't tell Airbus how many A320s to make, I can't call the CEO of Airbus and say, look, we're a little short on our top line this quarter. Could you order a couple more A320 – I mean, produce a couple more A320s or call some airline, could you order some more A320s or some missile program? Can you make a couple of missiles this quarter because we want to get our top line up, obviously, I'm being a little facetious, that's ridiculous, but that's kind of the illustrative of the situation. So for us, we need to run our business real hard every quarter, really tight, really hard and then make sure we're working on developing new opportunities and not going to use that bunker mode. All things are tough. We're going to go hide somewhere, which we see a lot of – I guess, in the world, maybe in our industry, but it's real important. We don't do that. We keep pushing and we keep looking for opportunities because that's the key. We had little control about the top line quarter-to-quarter because we can't tell the OEMs when to order stuff, when to not order stuff. We can't control the fact that defense industry is kind of down the dumps because Washington hasn't approved the defense budget. We can't really control the supply chain mess that's really seemed to affect the whole industry. We really can't do that. And there's other program issues. There may be a reason why a certain – the OEM is going to wait until next quarter to produce more missiles. I mean, that's their prerogative, of course. And then they have their own reasons. Those are things we really can't control. What we can control again is running our business really tight, really hard and working hard to develop new opportunities and not letting ourselves get into the bunker mode, all things are bad. So we'll emerge from a bunker, whatever. The problem is in reality people never reverse from the bunker. We'll talk about that later. Okay. Why don't we keep going because we got a long way to go here and lot to cover. Page – sorry, Slide 7. This is just annual stuff. Just to put it in perspective, you'll see on Slide 25, but the forecast for the 2022 fiscal year, sales $53.8 million to $54.3 million and EBITDA of $13 million to $13.5 million. So it's interesting. We all get back to that 2020 – fiscal 2020 year in terms of top line. But it seems like we probably get around the EBITDA number for that fiscal 2020. Also interesting, looking at the first nine months compared to fiscal 2019 and you see that EBITDA is about to same in the first nine months compared to 2019, but the top line there was $51 million compared to $41 million. So that means something, probably means that our margins are better, maybe our product mix is better, maybe we're developing and introducing products at a higher margin, maybe. Let's go on to Slide 8, try to keep moving here. So we'll try to skim over this pretty quickly. We cover this every quarter, balance sheet cash, cash dividend history. There's $110 million in the second arrow item, kind of interesting because that C2B sale kind of distorted our cash as well because we had a sale of the cash – sorry, I'm rushing, the sale of C2B occurred in Q3. But we didn't get paid for it until last month, till Q4. So the invoicing and the payment, the end of Q3 straddled those two items. So really in a way, that $110 million is short by a couple of million dollars because that sale occurred in Q3. The payment of that big item, special item didn't occur until Q4. But in any event, you might want to do a little math and you could take that number and you subtract how much we have to spend on the expansion and the transition tax installment payments. You'd say, yes, conceptually anyway, maybe we have about $96 million. That's a conceptual kind of discussion analysis. At the bottom of the page, our cash dividend history, we just go to the last checked item, $550 million in cash dividends since the beginning of 2005. So I normally comment, that's a lot of money for a small company like Park. Let me just cover the first checked item. I should do that. While others were canceling their dividends or cutting their dividends during the crisis, the economic crisis of pandemic, we did not do that, we maintained a regular dividend throughout. Let's go on to the next item. Slide 9 is our top five customers. We do that every quarter. Let's not get too hung up on this. Most of the names you're familiar with because you see them quarter-after-quarter, AAE Aerospace, that's the Raytheon SM-2 Missile. Aeromatrix, we do multiple programs with them. GKN, that's the Sikorsky Helicopter program. Kratos obviously is the Valkyrie at the bottom left and Middle River, MRAS, is the 747-8 Engine Nacelles program. So let's keep moving here. Slide 10, I think we have. Yes, the interesting thing to me here to give a little perspective, look at the bottom right, pie chart. And you say, yes, well, this is the – it's only a quarter, not year-to-date. So just Q3, $13.9 million was the revenue and look at military, 41%, touches about $5.7 million of military. That’s not too bad except $2.4 million back to the C2B. That’s the military part of the pie chart. So we weren’t expecting that in Q3, but in Q4, it will be back out to $2.4 million, that’s only $3.3 million. That’s a pretty low number. Look at the history, it’s a pretty low number, not just percentage-wise but absolute wise. So again, it goes back to discussion, what’s going on with the market. We’re quite sure, quite sure, we haven’t lost any business, any market share. That’s not a story at all. We think we’re getting opportunities, new programs. That’s not the story at all. It’s the end market itself that we believe is the driver here. Let’s go on to Slide 11, our niche military aerospace programs. Again, we do this kind of just for entertainment purposes, almost kind of the fun programs that we share with you. The JSTARS, that’s parts we make with our material. The ESSM, blade materials, that’s for rocketry. And the Standard Missile 3, that’s also blade materials. And just kind of fun fact, that is a MAC 16 to MAC 18 missile. That would be considered to be fast. I don’t know that’s a technical term, let’s call it fast. So military affected by supply chain, budget delays and also the choppy nature of military actually we were talking about before. Some programs will be active this month and next month they won’t be. Over this quarter, they will be active and next quarter, they won’t be. That’s an indication of the program going up or down. That’s just how the -- for us anyway, the military business is. There’s an important footnote to bottom. We still do love our military aerospace programs. Slide 12, okay. So what we’re going to do here, this is one of the things we cover every quarter for the last several quarters. And it’s Slide 12 all the way to Slide 16. We’re going to skip over this. We’re not going to go through each item. I’ll just say this is a discussion as to how the aerospace industry, especially commercial aerospace industry, got into the predicament it’s in now. The whipsaw effect we talked about it many times. I think that we try to lay it out pretty clearly in the slides themselves. So why don’t we skip over it and just if you have any questions, let us know. At the end of this little group of slides, we do point out that this is what everybody else did. They got into the end of days mode, the Armageddon mentality. This is not -- those terms I know is kind of two terms, but I don’t think I’m exaggerating. The industry just died, but not Park, not Park. We never bought engineering stuff. We never laid anybody off. We didn’t let go of our people. We didn’t stop our spending on our expansion budget. We didn’t cut our dividend. We didn’t do any of that stuff. And of course, we didn’t know if we’re right at that time. You run a company, you have to make decisions. But I think history will prove that we are right and the rest of the world was probably not right. At least the rest of the world got into that Armageddon kind of mentality, which is most of it, the aerospace industry. Okay. So you could pat me on the back later for that, but I just wanted to mention that we didn’t go that way. Let’s go to Slide 17. This is another topic we cover every quarter. So we’ll kind of skip over this. This is basically saying that, yes, domestic aviation is recovering more quickly than international aviation. Commercial, I’m talking about commercial, commercial and domestic translates to single-aisle. International translates to wide-body. So we think single-aisle is where it’s at for now, just for now, not for always, but for now, okay. Let’s move on to Slide 18. GE Aviation jet engine programs, we give you this slide every quarter because it’s kind of -- I know it’s not new stuff, but it’s good for context for perspective. Maybe some people haven’t done the call before. The top item, top left, firm pricing LTA through 2029 with Middle River Aerostructure Systems, MRAS, that’s a subsidiary of ST Engineering. Let me stop for those of you who don’t know. This was a subsidiary of GE Aviation for a long, long, long time, until GE Aviation sold a sub to ST Engineering in Singapore a couple of years ago. But the history is why all the programs you look at here are legacy GE programs. So redundant factory, we said, look, as soon as we signed this LTA, we’ll build you a Redundant Factory. We did that. Next item, Sole Source for composite materials for engine nacelles, thrust reversers and multiple programs. I’m not going to go through all of them. The top five, we call the A320neo family aircraft programs. We’ve got the 747 Comac programs. We’ll talk about that later. Both the 919 and the regional jet, the Global 7500. Top right – the top right just says this is a different kind of structure. It’s a primary structure for this Passport 20 Engine. And this is through GE. It’s not through MRAS. Item -- sorry, Slide 19. Let’s go through some updates on what’s going on with GE Aviation, the key programs. So the Slide 19, this is actually something within the prior presentation, the Q3 presentation. Maybe in -- sorry, maybe in Q1, this is a really important statement and it came from the Airbus CEO who kind of lays down his plan, lays down the law. This is what we want. This is what the supply chain is expected to do. So Airbus maintained, they’re not going below 40 per month of A320neos throughout the pandemic. And there’s all these doubters and analysts say, they’re going to have issues, they’re going to drop. They’re not going to be able to maintain it. That was really not good because people read the analyst reports. They wouldn’t believe Airbus. They believed the analysts and they would ramp up their business. So it ended up making things worse from that perspective. But anyway, they never went below 40. Now they’re saying, yes, 45 by the end of last year. And then they go to 64 in 2023, 70 by 2024, 75 by fiscal – sorry, I keep saying fiscal – these are calendar years. I’m sorry, calendar 2025. I’m rushing, so not being clear. Slide 20, let’s just continue. We’re still on the A320 topic. So as of the end of October 2021, CFM, that’s the manufacturer of the LEAP-1A engine, had a 60% share of firm orders for the A320 family of aircraft. That’s based upon Aero Engine News, which is kind of the Bible, a lot of really interesting and detailed data in the Aero Engine News. That’s pretty good information. Now just as you know, there’s a lot of balance in that percentage. This program is shared with Pratt – CFM and Pratt. Why is that just over 10,000 firm orders over 10,000? So in other words, if somebody gets an order 50 upper now, it’s not going to move that percentage that much. A lot of ballast. The big backlog for these engines and also for these airplanes. So assuming the bullet item here, 60% CFM market share, 75 A320 aircraft family per month, that rate represents approximately $30 million per year of revenue to Park starting in 2025 when they say they want to be at the 75 per month rate. We haven’t given you this information before. We kind of danced around it and so it’s like bigger than a bread box, that kind of stuff. We decided to give this information because it’s just gotten me such a significant program for Park that we thought is the right thing to do to communicate that information to you. So continuing there’s some tension with Airbus suppliers, some tension has developed over the aggressive Airbus A320 aircraft family forecasted ramp up, kind of public stuff, which to me is kind of strange. You think they have these discussions behind closed doors somewhere. But Airbus continues to indicate it’s not backing down. It’s doubling down. They’re being pretty firm about their intentions for the A320. I think they’re in the catbird seat here. I think they are because of the fact they have 2 engines on the program. So they can leverage one off the other and there’s a lot of evidence they’ve been doing that as well to see to what the supply chain supports them to get to that target of 75. Slide 21. We’re still going on the A320 family, the A321XLR though kind of the news here. They completed – Airbus completed the first assembly of the first test aircraft – final assembly, rather. First flight expected this year, certification entry into service next year. That’s pretty fast. A321XLR is truly positioned as the only single-aisle aircraft with 5,000-plus mile statute range – statute mile range and 225-plus seating capacity. That’s a big deal. It’s a game-changing aircraft. I don’t know if a lot of people think it is. Why is that? Because this aircraft has the ability to replace wide-bodies on certain missions. That kind of range, that kind of seating capacity replaced wide-bodies, which are much more expensive on certain missions. And that’s a big thing. At this point, Boeing doesn’t ever response to this airplane. Whether they’re working on one or not is not clear. People said they are, but the problem is that this airplane, the XLR is coming out in 2023. So it takes a long time to develop new airplane. So I hope Boeing will get into the game, but even if they do, it’s going to take many, many years for them to get in the aircraft, that would be in production and available for sale that could compete against the XLR. The A320neo aircraft family sold well in Dubai. Airbus recently received large A320neo aircraft family orders from KLM and Qantas, which are traditionally loyal Boeing customers. So that’s kind of a big thing. Airbus is feeling the way the Boeing customers. Now we all know, everybody knows that Boeing had trouble with the MAX, and we wish them well. We’d like to get in the MAX program. We’re not in the program, so we have no problem in the MAX. But my sense is that Airbus and their CEO are trying to capitalize on the opportunity in this window to gain market share and are being pretty aggressive. That’s what on my sense. So I think it maybe common we believe that to be the case. So the going after Boeing customers is nothing sacred, I guess. A320neo recently surpassed the A320 as the aircraft in the A320 and neo family was the most firm orders. That’s really interesting because Airbus is really focusing on the A321, not focusing on A320, but really focusing on A321neo. I think they’re setting up a new plant in Toulouse maybe just for the A321. So it’s interesting that, that’s actually a more popular airplane than the A320 at this point. And the last item, here is a little concerning thing. Pratt recently announced an enhanced version of its GTF engine with A320neo family. Deliveries to begin in 2024. Now this is the engine that – the other engine option for the A320neo. So CFM shares a program with Pratt. So far, CFM shares 60%, but Pratt is coming out with enhanced engine. Should CFM be concerned? I hope they are because I would take Pratt seriously if I would – they’re not asking me, but it’s my opinion anyway. Slide 22, so let’s go into some other GE program updates here. Comac 919. So Comac, this is the Chinese aircraft company, the 919 was to be a competitor to the A320neo and the 737 MAX. Until very recently, until the beginning of December, Comac was maintaining that they were going to get their plane certified in China anyway and begin deliveries in China before the end of last year. And then just very late in the year, in December, the China FAA, let’s call it that, announced that the Comac 919 is not expected to complete certification until 2022. That’s this year. The announcement indicated that as of early December 2021, the 919 prototypes had completed only 34 of 276 required certification flights. So that’s kind of good information because it’s not just delayed a little bit and they have a long way to go in terms of certification. I just saw a report this morning, not from Comac, not from the Chinese FAA that yes, in fact, the program is delayed. They’re not talking about when they plan to get it certified although the Chinese FAA is talking about this year. And Comac, I think, talked about COVID delays. There are a lot of serious lockdowns in China as a reason – one of the reasons anyway for the delay in this certification. Skipping over in this presentation discussion is the Global 7500 and the ARJ21. It’s not they’re not important. There just are not really many changes in those programs, and we’re trying to move through the presentation here. Slide 23. Okay. The 747, we’re going to include this until the end discussion about the 747. Boeing has announced it will terminate production of the Queen of the Skies in 2022. The last 747 is expected to be delivered in October 2022. That’s around the corner. Sad day for one of the best, maybe the best – my opinion, it is up there, commercial aircraft ever built, long live the Queen. So this is really a sentimental favorite for us. This is the first program we got on, GE Aviation program we got on back in 2014, my favorite airplane. But I would always want to remind you, even though it’s a sentimental favor, it’s a little less than $2 million in revenue for us. There are two new photos on left and right. So these are our current photos of the 747 in Anchorage, Alaska. We see a lot of 747 in Anchorage. Slide 24. Okay. This requires us to slow down a little bit. A lot of information here. So let’s look at the top part of the slide for perspective and what happened with – let’s use this as almost a proxy for the commercial aerospace industry. So on fiscal 2020, we had about $29 million of sales. It’s really about, let’s call it, $28 million because there was $1 million of sales on the 9x program, which is not an active program for us right now and dormant. So let’s say, $28 million. The reason I like $28 million divided by 4, that’s $7 million, that kind of works nicely. So $7 million per quarter. And you could see in 2021, now that pandemic is starting to affect us, one, two, the numbers you’re going down a lot. Use $7 million as a starting point. By fiscal – by Q3, fiscal 2021, Q3, $1.8 million, that’s 25% of $7 million, so 75% drop. That’s a pretty precipitous drop, I would say. But then look what happened. We go from Q3 of 2021 to Q1 of 2022, Q1 of this year, that’s just two quarters. It goes up from $1.8 million to $7 million. That’s a lot harder going up and going down. That’s 4x in two quarters. That’s a big, big ramp-up. And we handled obviously, those are our sales. And we’re kind of at that $6 million to $7 million per quarter right now. Good perspective. But what’s interesting here, it’s a little bit of a different story because Airbus never went below 40 A320 units per month and the 747 was flat during this period. The other programs are ramping up. So it wasn’t really an end market program issue. What was it? It was destocking. It was this kind of end of days, Armageddon mentality where the supply chain shut everything down. Not only that, they want to get rid of all their inventory. They’re selling off their inventory. And they’re not only not producing, they’re not – they’re selling inventory, whatever they could sell. So that really, I think, is the kind of the message behind our numbers. It wasn’t so much the end market, the end program markets. It was the destocking that was just kind of widespread and rampant throughout the industry. And of course, that puts the industry in a tough position because we go back to that part we skipped over, they’re back on their heels. They laid off lots and lots and lots of people, not so easy to hiring back. And guess what, they have no inventory left to cushion the ramp-up. So the supply chain got itself into a real predicament here. To Q2, let’s go to the bottom list, the top portion of the group of numbers. Fiscal 2022, Q3, the quarter just ended $6.2 million. Our forecast when we did our Q2 presentation for Q3 was $6.25 million to $7.25 million. So we’re kind of at the bottom of the range. I wouldn’t read anything into that. These numbers move up and down a little bit based upon something shift at the beginning of the quarter to end of the quarter, but I wouldn’t read anything into that. Going down to the lower part of the page, our Q2 fiscal 2022 Q4 forecast, the current forecast is $6.6 million to $7.1 million. In Q2, that was $6.25 million to $7.25 million. So we’re kind of tightening the range. We’re not really changing very much. Tightening up because it’s this quarter. We’ll give more information about it. That makes the total forecast for the fiscal year, $26.3 million to $26.8 million. We go back to fiscal 2020, $28.9 million, but maybe adjusted at $28 million. We’re getting close. We’re not quite there, but we’re close. Certain factors that may affect the forecast. Well, how about supply chain? How about COVID disruptions? So those are two. All those factors we talked about and discussed at the beginning of the presentation, Slides 5 and 6, they apply. But I would say, supply chain and maybe COVID disruptions are the things that could have the most impact on the forecast. The orders for Q4, the orders are booked. So if those orders aren’t shipped, I mean, something happened that prevented them from being shipped. So, let’s talk about when orders are booked. I’m talking about for GE, not for everything with Q4 for Park. Let’s go to Slide 25, a little more to discuss here. We’ve got to go back and talk about that $2.4 million of C2 sales. So for – let’s go right down to Q4 and at the bottom, fiscal year 2022 Q4. Our forecast is $12.25 [ph] million to $13.25 million top line. So what’s going on here? In Q2, we predicted $15.75 million to $16.75 million. Now you subtract that $2.4 million, what it’s supposed to be? And that’s – that was supposed to be in Q4, that won’t be in Q4. That still doesn’t get us there. That would bring us to $13.35 million to $14.35 million. And so to say, take what we gave you in terms of forecast for Q4 and Q2, subtract $2.4 million. It still gives us $13.3 million, let’s say, to $14.3 million, which is higher than the $12.75 million to $13.25 million.  Why is that? Because the things that affected Q3, we think are continuing into Q4. Now you see it’s not GE, it’s all the other stuff, especially military. And then we talk about the bottom line. $3 million to $3.5 million again for Q4, for the current fiscal year Q4. In Q2, our prediction was $3.5 million to $4.5 million. So, we’re bringing that number down, obviously driven by the top line. That’s really the story. Nothing about the bottom of the top line. One piece of good news I want to share with you for Q4. We told you about this in Q2 when we did the Q2 presentation. We still expect about $1 million in the blade of material sales in Q4. That’s not the C2B, that’s our materials where the margins are quite good. So okay. Long-term forecast. Sorry, let me not skip over certain factors and risks, which may affect the forecast. Those are similar to the factors, which affected Q3 listed in Slide 5 and 6. So again, go back to those risk factors. Supply chain end market for defense, non-GE, COVID disruptions, those are things that I would probably highlight as the big risk items. Long-term forecast, we’ve had – people have asked us when are we going to reach long-term forecast. We like to do that. But at this point, we just feel there’s a little bit too much uncertainty in the market for us to do that. And we don’t want to just give you something that’s a guess. We want to have some level of confidence that forecast makes sense. So it’s possible, I’m not promising, but it’s possible in Q4, which is in May, maybe at that point, some of the dust will have cleared and we’ll be able to give you some kind of longer-term forecast. Let’s keep going here. We’re running late. Slide 26, our expansion in Kansas. We could just skip through this stuff. The numbers speak for themselves. The film line trials are complete. That’s a good thing. That’s a big accomplishment. Tape line trials in progress, plan to begin qualification in January. And I’ll just make the point. While many others were slashing their capital spending or canceling their capital budgets altogether, we pushed forward with and completed our major expansion. Good thing we did because at this point, if we hadn’t, we’d be in a world of hurt, especially if you look at things like that 75 per month for prediction from Airbus, we’d be way behind curve, not just for redundancy, but for capacity. Update on Park’s people, Slide 27. So, our people count is 112. It was 114 when we did our Q2 presentation. So went down, not up, we’re trying to push it up. So it continues to be very difficult to hire the people we want to hire. That’s not a minor issue. That’s a major issue. And we’re not the only one, but we’re talking about Park. So, we’ll let you know about that. We know we’re not the only one having difficulty hiring people. Park’s people facing many challenges and they’re doing it short-handed. Major supply chain, we’re reviewing things that we discussed, but I just want to put in the context that these are the things that people have to deal with every day. Major supply chain, freight challenges, a daily battle, a lot of work. Now what does this lead to? It leads to abrupt adjustments and changes to production planning and scheduling and try to accommodate supply chain issues. You know people who run a factory, they like to have some kind of predictability so they can plan the factory, may be a couple months out or so. That’s ideal. That’s not for us because, okay, we’re planning to produce this product next week, but we did get the raw material. So, we’re going to switch everything around. We’re going to move people around. We’re going to produce something else where we have raw materials. So it’s a bit challenge, lot of extra work and effort that goes into managing our business under those circumstances. COVID challenges, still living with them. It’s been a difficult quarter for us with COVID. And we’re off to a rocky start at the beginning of the New Year with COVID, I guess, it’s Omicron, quite contagious. So, we have two concerns. One, obviously, the most important is our people. Most of our people have done fine. I mean, they’re okay. They’re recovered. But it also causes pretty big disruption for our production. We’re dealing with the supply chain issues. We’re going to move production around. Then people – they have somebody at home test positive or they test positive. They may be okay. They may to be fine, but they’re out. They have to quarantine. And it’s not like a vacation where you give somebody notice. It’s like, no, somebody calls in, I just tested positive for COVID or I’m not feeling well and I’m getting tested, and I have to wait for my test results. So that – it’s definitely in the category of a challenge. Stress and anxiety caused by vaccine mandates. So I know you hear a lot about this stuff, how wonderful it is. But for people who actually work for a living, it’s caused a lot of anxiety because they’re thinking, what am I to do if I lose my job now, then we’ll get vaccinated and we’ll get vaccinated maybe before he had COVID. I’m not going to get into a discussion about the merits of the vaccine. That’s not my area. But I’m going to have discussion about our people. We told our people you’re not getting fired for not getting vaccinated and a lot of people spoke up and said they’re very relieved because they thought they were going to get fired, they thought they’re going to lose their jobs. Now with this ocean rule, you probably know this, if the Supreme Court doesn’t strike it down, there is supposed to be a testing option, which is good. So in other words, people – the way to understand it is that people not vaccinated, they can test as an alternative. And we’ll do it for them. We’ll buy the test, they’re not going to pay for the test. We’ll bring them in, probably do whatever once a week, maybe on Monday, we have to figure that out. If we can get the test, that’s an if right now. So we’ll see what happens with that. Bringing the new plant up and online, new equipment trials. This is a big, big, big deal, the major consuming project that our people are handling shorthanded without reinforcements. Let’s go on to slide, what is it, 28 here, still dealing with our people, dealing with a managing Park’s new projects and initiatives. We’ll talk about some of them. That takes a lot of work, a lot of effort to do that. That’s what I was talking about before. A lot of times, companies feel pressed. They’re stressed. They have a lot of challenges. They go into a bunker. We’re not going in a bunker. We don’t stop. We don’t sit still. We keep going. We look for opportunities, we pursue opportunities. But it’s a lot of extra work. Our people are handling that. Major consuming projects, our people are handling without reinforcements, again shorthanded. But no matter in fiscal 2022 Q3, Park’s people once again stepped up. That’s what Park’s people do. Everything that could be produced and shipped got produced and shipped notwithstanding the many obstacles and roadblocks which our Park people had overcome. And once again, thank goodness for Park’s customer flexibility program, I talk about this usually every quarter. So I’m not going to go into the details, but it’s really god-sent. It was god-sent when business was going down, god-sent when it’s going back up. Slide 29. And most importantly, thank goodness for Park’s great people. Park is very fortunate and blessed to have these great people. Others laid off their employees by the thousands and thousands, Park held on to and kept all of our people throughout the pandemic and economic crisis. We neither asked for nor took any government money for keeping our people. We don’t need government money or government incentives to keep our people. We keep our people because we want to keep our people. Park’s people are precious. Park’s people are what makes Park, Park. These pictures are from our holiday party. Every year, we have a paper airplane contest. These are the winners, day shift and night shift. It’s actually taken pretty seriously. These guys are like kind of almost aeronautical engineers and how they design their paper airplanes and the contest is who could throw it further. So those are the winners of our holiday airplane – paper airplane contest. Slide 30. So let’s talk about some of what are we doing that’s new, not being in a bunker? So we got James Webb. This is just really an exciting thing, launch on top of – from French Guiana on Christmas Day on top of that Ariane 5 Rocket, that’s the same company, by the way, that we have the distribution agreement with. It’s currently in route to its Lagrange 2 orbit point located approximately one million miles from the earth, the James Webb Space Telescope. Just for perspective, the moon is about 239,000 miles from the Earth, the sun is about 93 million miles. Now I don’t know about you, but I never heard of Lagrange point until about two or three weeks ago, and now hear about 20 times a day because there’s a lot of news about the James Webb. Actually, there’s a – on Facebook, there’s like a page on Facebook that you can go on to or you can join, I guess, where every day, there is a lot of really interesting news about the James Webb. And there’s a website we can track its progress to the Lagrange two point which is kind of – at least for us, it’s fun and exciting. So James Webb Space Telescope mission has looked back to the beginning of time, universe, existence. So this is kind of a big thing. There’s a lot of theoretical beliefs, scientific theories about how the universe began. Well, we’ve never actually been able to see how the universe began, how existence began. So for instance, what did exist before the beginning of existence, those are interesting questions, and this is maybe not the topic of an investor call where you talk a lot of numbers and stuff like that. But nevertheless, for us, it’s a very big deal, this James Webb Space Telescope that we’re participating in it and that we participated in the structure. Let’s go on to Slide very – 31 – sorry, I can’t see the slide numbers at the bottom of my page. If the James Webb Space Telescope succeeds in its mission, again, same kind of topic, where will it stand in the achievements of human race? Well, that’s a pretty big one I would say, going back to the very beginning of time of the human race anyway. Pretty big achievement if it’s successful to really see back to how life began, how the universe began, how existence began. It’s a big deal. So you can fill in the blank here. But I would say, it’s up there. And the bottom of the page. So our proprietary Sigma Struts are incorporated into the structure of the James Webb Space Telescope. Park is along to this ride of rides to say that Park is honored to play a part this incredible mission of the James Webb would be the understatement of our lifetime. Really a very – it’s hard to describe how big a deal it is for us. This picture here is kind of interesting. That’s a little diagram of the Lagrange points. The James Webb is going to be orbiting around this L2 point on the right side of the little diagram there. Let’s go on to Slide 32. So there was a news release about this yesterday, so you might have seen it, about the business partner agreement that we entered into with ArianeGroup in France. So we purchased our C2B type product from this company for a long, long time. I’ve actually personally visited them in Bordeaux, I think, around 2005. So we’ve been working with them a long time. I love this company, a great company, a very special company. And they asked us that we could be the exclusive distributor for this product. We’ll keep buying it for our own account, but they asked us that we could be their exclusive distributor for the U.S. and we’re really honored to say yes, of course. So that’s a really big deal. We’re very happy about that. Let’s go on to Slide 33, I guess it is. So another, what’s new at Park? Major potential project initiatives in new plant. Sorry, we can’t give you much more detail about it. We’re just not in a position to do that now. But these are big things we’re working on. So at least we want you to be aware of them. So somebody asked what the heck – if somebody visited our plant, what the heck are you doing with that huge new plant was an interesting question posed by an observant and smart person because this person saw the huge plant and some of it was spoken for. We have our new lines, tape line and film line, we have freezer space, we have slitting, we have a warehouse, but there’s still a lot of space in there. And there’s also a space – you remember we talked about this before, for another hot melt tape line or solution line that would be to add to our current capacity. But that’s for something we’re currently doing. It’s another line and those are the hot melt line or solution line that would be another line that would be added to our equipment inventory to increase our capacity, but that would be something we’re already doing. We talked about it before. That’s not what this page is about. There is additional space in a new plant, which is set aside for new project initiatives, including two potential project initiatives we’re currently working actively on. Both of these projects involve a purchase installation of major new equipment lines, which would bring new capabilities and market offerings to Park. One relates to a joint development project with an important customer, another project, something we would do on our own. And we’re currently reviewing both projects with equipment suppliers. And just for perspective, if we went forward with these projects, it’s probably about $6 million to $9 million purchase of equipment and installation costs. Let’s go on to the next slide, Slide 34, I believe. Continuing on the same topic, there’s no hard deadline for final decision making on these projects, but they’re both front burner projects and we’ll keep you posted. Although these projects relate to the manufacturing composite structures, so it’s not a big departure into something totally different. They both would bring new capabilities and market offerings to Park. These are things we currently do not do. Let’s go on to Slide 35. Still on the what’s new at Park topic. Informal partnership with an established aerospace manufacturing company, partnership in Park because it’s not a formal partnership, it’s not a formal agreement. It’s a collaboration kind of arrangement. Again, sorry, we can’t say much about this one. We can’t give you details. It’s little preliminary. But I want to tell you about some important things we’re working on, so we’re going to tell you about this. Park believes this established aerospace manufacturing company has important capabilities which are complementary to Park. So they do things that we don’t do. We do things they don’t do. That often could be the formula for a great "partnership" or collaboration anyway. Park and this informal partner have been collaborating on certain defense programs. This is about defense. This collaboration has already led to an important new defense program award for our partner and us and our partner and us, Park are currently collaborating an – partner and we are currently collaborating on an RFP for another significant defense program. Hopefully, we’ll get it, we’ll see and we’ll keep you posted. We believe this informal partnership has the potential to open up significant new opportunities for Park and our informal partner. So let’s go on to Slide 36. I think these were the kind of last slides. So sorry, we’re taking so long. As you can tell I’m rushing and probably stumbling over some of it by going too fast. So let’s just start with the top year. Some say the economy is doing great and that all is well with the world. And we hear this a lot. I read about it a lot in the press, the financial press and all we could say is that’s not our world, maybe somebody else’s world. Maybe it’s a world of Wall Street investors, but not the world for us, the Mainstreet world. That’s not the world we live in. Park’s world is full of challenges. Going to review some of the challenges just for perspective here: major supply chain and transport challenges. Some say these are improving. We don't see it, not yet anyway, daily battle, then abrupt adjustments to production planning and scheduling, very difficult to hire the people we need, still living with COVID and its many challenges, vaccine mandates, we talked about that, bringing a new plant on line, new equipment trials, major effort, major effort, and our people are facing these challenges shorthanded. We can't hire people. Let's go on to the next slide, which is 37. But here's the key thing. Even in the face of these many challenges which are people confront and deal with every day, our people continue to press forward with major initiatives. That's a key point here. We've got a lot going on, a lot of challenges, a lot of difficulty, just how it is. We're not complaining about it. It's just our world. We want you to know about it. But that doesn't mean we go into a bunker and high until things get better. We keep pressing forward. That's what we do. That's what our people do. Our new business partner agreement, these are some examples we just spoke about with ArianeGroup, the two major initiatives in development projects we're pursuing our new plan. Major new opportunities we're pursuing through collaborations with our informal aerospace manufacturing company "partners," numerous other initiatives. The point here is all these new things take a lot of effort, lot of dedication, lot of time. So we could say, yes, we're really tied up with all these difficulties and all the challenges we're facing, we'll do this some other time. But we don't believe in that. That's not who we are. To us, the other time never comes. So we do it now. We press forward. We get developing opportunities. That's what we do. In the face of challenges and difficulties, others may seek shelter in the bunker and wait for things to get better. But at Park, we do not do bunkers, we do not wait. For us, the bunker is where you go to die. I guess the last slide, Slide 38. At Park, even in a world full of challenges, we press forward, we attack, we don't stop. This is all we know. This is what we do. At Park, we're swinging for the fences. We're not like the others. At Park, we play for keeps. Now at the end of every presentation, we show a little picture of one of our departments or groups or teams. This is unusual. This is a bunch of different departments. These are people taking responsibility for equipment trials and bringing a new plant online. This is a major, major effort and these people are from R&D, engineering facilities, production. There's about four others that didn't make the photo. I don't – they were not on the shift or something like that. But I'm going to read the names to you. Back row, Christian, Dexter, David. Front row, Philip, there's Davakar, Kelly, Dave, there's Dave Way, Mell, Martin, Leo, like I said, several people didn't make the photo. But what's going on here? These are not new people. These people worked with us for a long time. So four months ago, there was no new plant to bring on line. There were no trials. These people didn't have lot of free time than I could remember. So these people are the people that are doing this major project of the trials and bringing a new plant on line even though they have a day job. And it's not one department. It's not like, okay, we have – we tried to hire people, we couldn't hire people. So our existing people are dealing with it and dealing with it very effectively, very aggressively. Doing the trial, as I said, the film line trials are complete. We're in the tape line trials now, the qualification, a lot of other aspects of bringing new plants on line. So that's just kind of an example we're talking about. All right. That concludes our presentations. Again, I apologize, it took a whole hour. So operator, if anybody has any questions, Matt and I would be happy to answer them at this time.
Operator: [Operator Instructions] Our first question comes from Brad Hathaway with Far View. Your line is open.
Brad Hathaway: Hey Brian, thank you for the detailed presentation. Especially appreciate the commentary on what the MRAS programs would look like in with the A320 in 2025. That was really incremental and helpful. So thank you for that. One quick question for you and then one longer one. The quick one is, can you give us any kind of thought on the materiality of the Ariane space, I guess, sales relationship that was announced yesterday?
Brian Shore: So we can't quantify it. I guess I'll answer it this way. First of all, we already buy a lot of this product. So from our perspective, it's a big deal already. In terms of being a distributor and selling these products to others, we're just really getting started. We'll have to see. And we're really hard to predict. These are very critical components, this fabric, the C2 fabric that's used in a lot of missile programs. So other companies want to get involved with the missile programs, they're going to need this material. And they'd have to get it through us at least in North America. But I can't really quantify it. It just, I mean, we just, yesterday, I think in the news release I think we signed this agreement with them just about a month ago. So maybe not even a month ago, sometime mid-December. So I have to get back on that. We'll have to update you as we go. I wouldn't expect though because the way the nature of how aerospace works in particularly defense, that next quarter we're going to tell you we've got $5 million of sales of this product. I think it's kind of more of a long-term effort to develop this business.
Brad Hathaway: Got it. Understood. Any future detail you can give on the materiality over the long-term would be great, we appreciate it. So the second question is on capital, and we discussed it many times. But in this presentation, you talked about; I guess a project that could use $6 million to $9 million of capital. But you still have, even with a conservative calculation; you have basically close to $100 million of capital on the balance sheet. How do you think about, I guess, your alternatives to use that capital going forward? And what are you seeing in terms of things you're excited about or things you're most excited about compared to where we were six months ago?
Brian Shore: So we certainly don't need that amount of money to run our business on a day-to-day basis. I mean, normally, we generate cash. We like to be conservative. So we want to have some working capital available. So that's our opportunity of money, really and I know it's $6 million to $9 million. I mean, for some companies, that would be a lot. For us, it's probably not that much. I mean, it's important money because we had to earn that money. Nobody gave it to us. That's kind of our mindset in our money and know that we don't spend it casually. But to your point, it doesn't make a huge dent in the cash position now. And this is probably a little bit of maybe good frustrating discussion for you and some other shareholders because all we can do is say we're working on things, a number of things, but we really can't identify or quantify what those things are, including acquisitions. And I know we've been talking about it for a long time, so I wouldn't blame some shareholders being a little skeptical of that, and we blame it all. Our standard is a little different. We're not looking to just buy something to buy something. We cover that probably a dozen times. But let me just go back to what I said. To us, this is our opportunity money for the future. And whether we do something or other – we've done a lot of dividends in the past. We continue to pay a regular dividend. That's something that, obviously, we always consider. But my hope would be that we still are able to use a good portion of cash to develop opportunities for Park for the future.
Brad Hathaway: No. And to be clear, my preference is always that if you can find a high return use of that capital, whether it's an acquisition or whether it's a joint venture or whether it's an investment in another factory, it could be returns from the new nature because they're going to be incredible. That would be my preference. But just to push a little bit more, you got – as you say, the aerospace industry was dead a year ago and is now recovering. So I guess, if you couldn't get – if you couldn't find a deal that worked for Park in the last 18 months, at what point do you say, you know what, it's going to be actually even harder trying to go your valuation criteria going forward and say that you're not going to be able to put cash to work?
Brian Shore: Good question. So you're right. We thought that when the market collapsed that there would be a lot of great opportunities, maybe companies that were good talent companies but had too much debt and that kind of thing, the valuation is to be really good. But that didn't happen. I'm not the expert in that topic, Brad, but I understand that there's just so much free money, so much Fed money around that people were able to hang on rather than selling at these kind of distressed levels, bargain basin levels hang on and get through the difficult times which is I think what a lot of people did. And you're quite correct that the valuation never went down to as much as we would have liked, but they certainly are very high right now. Everything is high, any asset cars, houses, boats, planes and businesses. And that's obviously not our friend. That's not good for us. And maybe with interest rates going up, maybe nobody wants interest rates go up except us because we're the ones who have the cash, maybe that will help us a little bit. It seems like the tenure is up little bit again. So that might actually be good news for us. But the more direct answer is that we have to keep adjusting our focus and looking at other ways and other things, which is what we've done and what we're doing because, you're right. I mean, what did Einstein say, keep doing the same thing and expecting result, that's a definition of being insane. So just to keep adding and saying, oh, we're still doing the same thing, it does not bring logic to it when your point is correct. I mean, we have not had that success. So what we do is we keep adjusting our focus and refocusing and retuning, looking from other perspectives. And we're pretty actively doing that actually right now. The frustration with M&A stuff is, obviously, there's only so much I can say. We can't really give any specifics. I'm sure you understand that. That's not something that's possible. So I don't want to say except I'm hoping that you'll see some interesting things in the future on the M&A side. But we're continuing to work at it. But very good point, not just continuing to beat our head against the wall doing the same thing, adjusting our focus as we go so that we have a better chance of being successful.
Brad Hathaway: Great, excellent. Thank you very much for your efforts and efforts for the Park.
Brian Shore: Happy New Year Brad.
Operator: [Operator Instructions] I'm not showing any additional questions. I'd like to turn the call back over to Brian Shore for any closing remarks.
Brian Shore: This is Brian again, of course. So Happy New Year to all. Thank you very much for listening to our very long presentation. Every time I want to make it shorter, it gets longer. But Matt and I wish you a Happy New Year and all the best. And feel free to call us if you have any follow-up questions. Always happy to talk to you. Thanks and goodbye.
Operator: This concludes the program. You may now disconnect. Everyone, have a great day.